Operator: Thank you for joining the Greenlight Re Conference Call for the Third Quarter of 2019 Earnings. The company reminds you that forward-looking statements that may be made in this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not statements of historical fact, but rather reflect the company's current expectations, estimates, and predictions about future results and events and are subject to risks, uncertainties, and assumptions including those enumerated in the company's Form 10-K/A for the year ended December 31, 2018, Forms 10-Q for the periods ended June 30, 2019 and September 30, 2019 and other documents filed by the company with the SEC. If one or more risks or uncertainties materialize or if the company's underlying assumptions prove to be incorrect, actual results may vary materially from what the company projects. The company undertakes no obligation to update publicly or revise any forward-looking statements whether as a result of new information future events or otherwise except as required by law. After the prepared remarks we will be conducting a question-and-answer session. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Greenlight Re's CEO, Mr. Simon Burton. Please go ahead sir.
Simon Burton: Thank you, operator and good morning everyone. I'm pleased with our performance this quarter, which resulted in book value growth of 1.2%. We had a positive contribution from underwriting despite higher than normal loss activity in several key classes, as well as a positive investment return. In the third quarter on the loss side, we saw a high level of natural catastrophe activity with Typhoon Faxai and Hurricane Dorian, which were followed in October by the much larger Typhoon Hagibis. As Hagibis' geographic impact largely overlapped with that of Faxai, we expect that the demand surge will be magnified and the loss adjustment process will be more complicated for both typhoons. Our estimated losses from Faxai and Dorian equated to an additional 2.4 points on our third quarter loss ratio. To-date, the information reported to us by our customers is not sufficient for a meaningful estimate of our loss from Typhoon Hagibis. 2019 is the third successive year of significant natural catastrophe losses. We have seen the reemergence of North Atlantic land falling hurricanes after a quiet decade, and a surprising number of typhoons in Japan. We expect the price for cap raise to increase overall, particularly in Japan. And we plan to continue to participate as a net writer, not buyer for cat retro. We also saw a loss activity in our satellite business, with two large losses occurring in the third quarter. We expect a strong market response to these launch failures with early signs that rates may double in the short term. We like the class for this very reason that rates respond quickly and directly to last activity. I have discussed our efforts in rebalancing the underwriting portfolio several times before and our process continues. During the third quarter we reduced our exposure to certain counterparty and Florida-specific risks in our non-standard auto book. However, we continue to have a positive outlook in this class. Race has continued to improve in 2019 from a healthy base in 2018. And we have expanded our positions in other states and programs. Before I turn the call over to David, I'd like to provide a brief update on our strategic review. As you will recall, in August, we announced that we had engaged Credit Suisse to assist the company and the Board in evaluating strategic alternatives. Since that time, we have identified a variety of potential options for the company, but have not selected any particular course of action, nor have we formalized the timetable to complete our review. We have of course implemented steps designed to preserve capital including derisking our investment portfolio and our efforts to maximize value for our shareholders continue. However, until we determine that further disclosure is appropriate, we do not intend to discuss developments with respect to the process. Now I'll hand over to David.
David Einhorn: Thanks Simon and good morning everyone. The Solasglas fund returned 1.2% in the third quarter. Longs contributed 2.2% and shorts detracted 0.8%. During the quarter the S&P 500 Index returned 1.7%. Long positions in Greenberg Partners and Brighthouse Financial were the biggest winners in the quarter. Greenberg stock climbed over 28% as the company announced strong second quarter results and management indicated that it expects earnings growth to impact positively in the third quarter of this year. The company also continues to increase its community count and launched its entry level trophy signature home brand in October. Greenberg reports earnings today. Brighthouse Financial shares return 10.3% in the third quarter. Brighthouse reported a $400 billion increase in statutory capital the second quarter, surprising the market which is expected a loss of nearly $1 billion due to declining interest rates. The $1.4 billion positive swing for company with a market cap of just over $4 billion should have resulted in a significant move higher for the stock, but the market more or less trumped it off. The company has continued its $1.5 billion buyback program, repurchasing nearly 3% of the outstanding shares in the second quarter and another 3% in the third quarter and another 1% in October. Earlier this week, Brighthouse reported strong third quarter results with over $5 per share in normalized statutory earnings in the third quarter alone. The company also completed its annual actuarial review and closed third quarter with $125 of book value per share. Our short position in Tesla detract from performance as unit sales in the third quarter improved more than we expected in the stock 0.8%. Although the stock is down year to date, we are surprised to see it has proven to be as resilient as it has been in the face of relentless negative news and what appears to be an end of the company's growth trajectory. Revenues were down quarter over quarter and decreased 7% from a year ago. And revenues in its most important United States market declined over 39% year over year. In October, the company announced a surprise third quarter profit in the stocks. These results appear to be driven by changing and aggressive accounting. The biggest surprise was a currency gain and other income that was directly offset by a currency loss in other comprehensive income. Practically speaking, the results were unimpressive as the company saw revenue declines as average selling prices on all models fell as Tesla attempted to keep volumes up. Tesla has been very creative in its accounting but we believe it continues to be structurally unprofitable, will remain short. Solasglas returned negative 1.7% in October. As of October 31st, the investment portfolio is approximately 21% net long. And the majority of its investment assets are in cash and short term treasuries. With a good underwriting result during the quarter, despite some catastrophe losses, and generated a small underwriting profit. I'm pleased with the progress we're making as Simon and the team continue to shift our underwriting portfolio into a more diversified book of positive risk adjusted opportunities. Now I'd like to turn the call over to Tim to discuss the financial results.
Tim Courtis: Thanks, David. For the third quarter, 2019 Greenlight Re reported net income attributable to the company of $5.1 million, compared to a net loss of $89.1 million for the comparable period in 2018. The fully diluted net income per share was $0.14 for the third quarter of 2019, compared to a net loss of $2.48 per share in the prior year period. For the nine months ended September 30, 2019, we reported net income attributable to the company of $26.4 million, compared to a net loss of $269.2 million for the first nine months of 2018. Our fully diluted net income per share with $0.72 for the nine months ended September 30, 2019, compared to a net loss of $7.49 per share for the same period in 2018. Gross premiums written were $425.5 million for the first nine months of 2019, a small decrease of 1.6% from the prior year period. Premium reductions due to the non-renewal of medical stock loss and motor contracts were partially offset by premium increases from new workers compensation, motor and multi-line contracts written during 2019. The composite ratio for the third quarter was 96%, which as Simon mentioned included 2.4 loss ratio points related to current period natural catastrophes. During the quarter there was negligible prior period loss reserve development. Underwriting expenses were flat relative to the prior year quarter, resulting in an underwriting expense ratio of 2%. Our result in combined ratio was 98% for the quarter, which is both a sequential and year over year improvement. For the first nine months of the year, the composite ratio was 102.4%, which was a result of reserving actions taking on auto losses during the first quarter of this year. Total underwriting expenses incurred during the first nine months of 2019 net of other income related to underwriting were $8.7 million, resulting in a combined ratio for the year to date of 104.7%. Our corporate expenses of $11.4 million for the first nine months of 2019 compared to $9.4 million reported during the same period in 2018, with the increase being primarily due to higher legal and other professional fees, and information technology expenses. We reported total net investment income of $9.9 million during the third quarter of 2019, which includes net investment income of $6.6 million on our investment in Solasglas, reflecting a net return of 1.2%. For the first nine months of 2019, we reported total net investment income of $61 million, of which $51.8 million related to investment income in the Solasglas fund, reflecting a gain of 10.4%. The fully diluted adjusted book value per share as of September 30, 2019 was $13.67, a 4.4% increase from $13.1 per share reported at December 31, 2018. Now I will turn the call back to the operator and open up to questions.
Operator: Thank you. And we will now begin the question and answer session. [Operator Instructions]. And not showing any questions. At this time this will conclude our question and answer session and also conclude Greenlight Re's third quarter 2019 earnings conference call. Should you have any follow up questions, please direct them to Adam Prior of The Equity Group Inc. at (212) 836-9606, and he will be happy to assist you. We also remind you that a replay of this call and other pertinent information about Greenlight Re is available on our website at www.greenlightre.com. The conference has now concluded. I apologize. We did have some questions that came into the queue. At this time, we will go ahead and proceed with our first question. And that would be from Ethan Sharvit of Argos Capital Management. Please go ahead.
Ethan Sharvit: Hi. Thank you. Can you hear me?
Simon Burton: We can.
Ethan Sharvit: Hello? Okay. Thank you for taking the question and congratulations on results on Q3. I just wanted to ask about news that was reported in the quarter related to possible bid to acquire the company. I know you mentioned that you're not going to discuss the strategic developments, but in terms of a Bloomberg article, can you discuss a little bit the background and what developments happened this quarter?
David Einhorn: Yeah. Hi. This is David. And we're not going to comment on market relations.
Ethan Sharvit: Okay, thank you.
Simon Burton: Sure.
Operator: [Operator Instructions] And the next question comes from Mikel Abasolo of Solo Capital Management. Please go ahead.
Mikel Abasolo: Hello. And thank you for taking my question. This is sure one. How much of the Solasglas fund is invested at risk at the end of the quarter?
Tim Courtis: Mikel, it's Tim here. On the face of our balance sheet is the amount of the net asset value that is in the fund. And as we have described precisely, Solasglas trades in investment portfolio of what we contribute and is able to go long and short in that position. And we have publicly stated that as we are derisking in our portfolio, they would be the majority of that. But that is relative to the investment portfolio, not the net asset value would be derisked in fixed income securities. So the majority is in fixed income securities and the rest is eligible for the long, short portfolio.
Mikel Abasolo: So in percentage terms or in proportion? Can you be more specific, Tim, please?
Tim Courtis: Yeah. Well, the other way to look at that is if you look at the Q on Page 13, that shows the actual balance sheet of Solasglas at September 30th. And it breaks down what is in investments at fair value and what is in cash and cash equivalents. So, the derisked portion of the net asset value would be in the cash and cash equivalents. So you can see at the investment that fair value that would…
Mikel Abasolo: Okay. Okay, thank you. I apologize. But I looked at it in the 10-Q on the PDF. And that page was blank for some reason, I should have looked at it at the guard [ph]. But that thank you for the response. And my question is if the amount is solo, isn't it more - wouldn't it be more appropriate to discuss the strategic revision up to a point where you feel comfortable disclosing something rather than discussing the positions in companies like Tesla or something like that, because I think it's more material to the investment, do not you think?
David Einhorn: Yeah. This is David again. And no, I understand the interest in what's going on with the strategic review process. This is the investment portfolio rough size that we expect to maintain until we've completed the strategic review process. I think it makes sense to discuss where we do have risk in the portfolio. So that was where we start talking about some of the investments that have been made that the company has opportunity as money [ph] in relating to explaining more about the strategic review process. It simply doesn't make sense at this time for us to comment further.
Mikel Abasolo: Okay. Okay. Thanks, anyway. Thanks.
Operator: [Operator Instructions] And at this time, I am not showing any additional questions. So we will conclude the question and answer session and conclude Greenlight Re's third quarter 2019 earnings conference call. And once again should you have any follow up questions, please direct them to Adam Prior of The Equity Group Inc. at (212) 836-9606, and he will be happy to assist you. We also remind you that a replay of this call and other pertinent information about Greenlight Re is available on our website at www.greenlightre.com. The conference has now concluded. We thank you for attending today's presentation and you may now disconnect your lines.